Operator: Greetings, and welcome to the Bridger Aerospace Second Quarter Fiscal 2025 Investor Conference Call. As a reminder, today's call is being recorded. It is now my pleasure to introduce your host, Eric Gerratt, Chief Financial Officer. Thank you. Mr. Gerratt, you may begin.
Eric L. Gerratt: Thank you. Good afternoon, and thank you for joining us today. I'm joined today by our Chief Executive Officer, Sam Davis. Before we begin, please note that certain statements contained in this conference call that do not describe historical facts are forward- looking statements as defined in the Private Securities Litigation Reform Act of 1995. Since forward-looking statements are based on various assumptions, risks and uncertainties, actual results may differ materially from those expressed or implied by such statements. Factors that could cause results to differ materially from those expressed include, but are not limited to, those discussed in the company's filings with the U.S. Securities and Exchange Commission, including expectations regarding financial results for 2025. Management cannot control or predict many factors that ultimately impact future results. Listeners should not place undue reliance on forward-looking statements, which reflect management's views only as of today. We anticipate that subsequent events and developments will cause our assessments to change. However, we undertake no obligation to revise or update any forward-looking statement or to make any other forward-looking statements. Throughout this afternoon's earnings release and call today, we refer to the non-GAAP financial measure adjusted EBITDA. The definition, calculation and reconciliation to the financial statements of adjusted EBITDA can be found in Exhibit A of our earnings release, which is available on our website. We believe adjusted EBITDA is useful in evaluating our reported results as a supplement to and not a substitute for results reported under GAAP. With that, I'd like to turn the call over to Sam.
Sam Davis: Thank you, Eric. I want to start by thanking our entire team for their dedication and long hours during what has been a very active wildfire year thus far. 2025 has already been another record-breaking year for Bridger. We witnessed monumental success in Q1 with record-breaking deployment orders and mobilization to new regions. I'm pleased to report that our Q2 financials have delivered the same record-breaking performance as Q1. The strong demand for our aerial firefighting assets more than doubled revenue from Q2 last year to $30.8 million. We also reported positive net income of $0.3 million compared to a net loss of $10 million last year. This is the first time we've reported positive net income in the second quarter and the earliest we have swung to a profit. Also for the first time, we reported positive adjusted EBITDA through the first 6 months of the year. Another first, in mid-June, all 6 of our Super Scoopers and 2 PC-12s were deployed to Alaska under U.S. Forest Service task orders at the request of the Alaska Bureau of Land Management. With Alaska seeing a trend of larger fires and more acreage burned, Alaska understands the value and efficacy of the Scooper as well as the benefit of prepositioning assets for initial attack. This was the first time in history that all of our scoopers have been operating together in one location. Additionally, we secured 2 separate 120-day task orders, each for 2 of our Super Scoopers from the U.S. Forest Service. These procurements demonstrate a strong adoption of our platform within the wildfire fighting landscape as well as an acknowledgment of the increasingly year-round threat this country faces from wildfires. This compares to last year when we had 2 scoopers on a 60-day task order and 2 on a 90-day task order. And the year before that, only 2 scoopers were on a 90-day task order. Through these task orders, our fleet will remain mobilized and dedicated to critical wildfire response efforts into the fourth quarter. This helps to guarantee our utilization this year and support year-round revenue while we continue to focus on maximizing daily availability and flight hours. The remaining 2 scoopers currently are on a call-when-needed basis and are seeing considerable activity. Fundamentally, these task orders demonstrate the adoption of our assets by the wildfire community. The scooper is becoming even more recognizable for its effectiveness as an initial attack asset, and we're benefiting from the Forest Services proactive management and prepositioning these assets. These actions are helping to ensure rapid response, limit the devastation from fires becoming large incidents and enhancing our effectiveness in protecting lives and property. A proactive response to wildfire this year has been very visible. Year-to-date, wildfires have been above average in count with approximately 40,000 fires and below average in acreage burned at just over 3 million acres. We see this as a strong indicator that we are building resiliency in our revenue with more year-round demand and the ability to increase utilization without simply being dependent on a season of heightened activity. As we sit here today, 2 scoopers are in Idaho, 2 scoopers are in Nevada and 2 scoopers are in Utah, where a state of emergency has been declared and the Monroe Canyon fire continues to rage, consuming 65,000 acres and is only 15% contained. This year alone, we've already dropped 4 million gallons of water from Tennessee to California and from Texas to Alaska. Let me now provide a quick update on FMS and Ignis. FMS contributed $0.4 million in revenue during the second quarter. In addition to partnering on internal aircraft modifications to solidify our competitive edge, we continue to see a number of contracting opportunities, primarily with the DoD and active bids that Bridger and FMS are uniquely positioned to respond to. While revenues in their business has seen delays due to federal budgeting uncertainties for the short term, we're optimistic we'll add more year-round revenue growth to the business later in the year. A brief update on Ignis Technologies. Since launching its mobile platform to support firefighters in the field just over a year ago, several counties, crews and incident management teams continue to pilot the app. We're now linking Bridger's real-time sensor imagery with the Ignis app, creating a seamless data flow from air to ground. This capability promises to unlock new levels of situational awareness, supporting multi-mission aviation contracts and enhancing both operational effectiveness and safety in the field. With the continued success of our sensor-enhanced aircraft, the need for interactive live data streaming is stronger than ever, and we intend this to be a critical part of our sensor-enhanced aviation contracts next year. Alongside Positive Aviation, Bridger continues to pursue the development of a new water scooping firefighting aircraft, the FF72, based on the ATR 72-600. We intend to be the North American launch customer of this new platform with the first delivery scheduled for 2029. Based on the global demand we see currently, coupled with the scarcity of assets with water scooping capability, we intend to expand our program with this unique next-generation firefighting technology. Currently, a nonbinding MOU exists with Positive Aviation, which should translate into a purchase agreement before the end of the year, assuming both parties arrive at a mutually beneficial launch plan. Notable progress is being made with frequent workshops, site visits and collaboration between the Bridger and Positive teams. Turning to the 4 Spanish Scoopers, which are owned under our partnership agreement with MAB Funding, LLC, the return to service work by our Spanish subsidiary, Albacete Aero remains on track. The first 2 aircraft have received their certificates of airworthiness, and we have completed training activities. The partnership believes there may be opportunity to deploy both scoopers in Europe during the 2025 wildfire season as Europe has seen a very active fire season. Limitations to activation mostly lie around the lack of appropriation being in place prior to the season. We believe this may be an area of focus next year for multiple countries given the known availability of these scoopers to fight fire and the unfortunate headlines that have plagued Greece, Cyprus, Turkey, Portugal and France this year. The third and fourth scoopers continue to undergo their respective return to service work and are scheduled to be ready later in 2025 and early 2026, respectively. Discussions to move the partnership with MAB are forward ongoing. Options for Bridger can include the extension of the purchase agreement as well as lease options as we best seek to determine how to bring these high-margin assets into the business. Before I turn the call over to Eric, I want to spend a little time addressing the President's executive order to restructure our national wildland firefighting system, which we view as a market shift for the entire industry. The executive order indicates a significant change in how we approach and fight wildfires as a country. The intent is to enhance the effectiveness and efficiency of wildland fire management operations, streamline procurement processes and establish year-round readiness requirements. The executive order calls for the establishment of a national wildland firefighting task force that will span all federal agencies, ease administrative burdens and refocus our national efforts on preparedness and aggressive wildfire suppression. This will consolidate agency control under the Department of the Interior, where a focus is already culminating in proactive wildfire management and includes an increased budget to detect and suppress fires. The prioritization of immediate suppression to protect communities and critical infrastructure comes on the heels of the May 2025 letter from the Chief of the U.S. Forest Service, which reiterated the need for direct attack wildfire mitigation. This letter stated that the Forest Service will focus on safe, aggressive initial attack and that it is critical that we suppress fires as swiftly as possible to minimize the amount of fire line exposure and be ready for the next ignition. The commitment of the current administration and Congress to fully funding the country's needs to suppress wildfires are particularly noteworthy in a time when both the White House and the Congress have been making historically steep cuts to nearly every government program. In fact, the proposed budgets for wildfire suppression are actually set to -- for a moderate increase in fiscal year 2026 of $100 million. In addition to the executive order, there is also a strong legislative push toward wildfire management reform. We've seen compelling bipartisanship and the introduction of several bills. This draft legislation proves important, not just in its potential impact policy, but also in the general awareness and education it's garnered for the industry. What we've noticed is in the focus on response times, the standards of cover and the proper mix of aviation assets. The goal to respond quickly and effectively at the early stages of wildfire when it matters most to detect, prevent, contain and extinguish wildfires before they become the next catastrophic event. And Bridger's assets are uniquely positioned to be the most effective and desired assets for this initial response work. And while we look forward to these beneficial changes at the federal level, there are also changes anticipated at the state level that will enable states to take on a greater role in preparing for and responding to disasters. We continually look for opportunities with states to provide exclusive use for our firefighting assets and are optimistic that current budgeting and planning cycles will lead to future opportunities. With the threat of wildfire becoming year-round, states see the scarcity of assets only becoming more prevalent as federal initiatives work to set up proper coverage levels nationally. In order to avoid a gap in coverage as wildfires move around the U.S., we expect that some states may look to solve for this with their own exclusive use of assets into the aviation field. It has been a busy 2025 this year thus far, and I remain grateful to get to lead this exceptional team. Let me now turn it back to Eric, who will talk about our strong financial performance for the quarter.
Eric L. Gerratt: Thank you, Sam. Looking at our results for the second quarter of 2025, revenue increased to a record $30.8 million, up 136% from $13 million in the second quarter of 2024. The second quarter of 2025 benefited from the continued higher levels of activity as multiple scoopers and surveillance aircraft were deployed in the quarter. Excluding revenue for the return to service work performed on the 4 Spanish Super Scoopers as part of our partnership agreement with MAB Funding, LLC, which was $5.1 million in the second quarter of 2025 and $1.8 million in the second quarter of 2024, revenue from ongoing operations more than doubled to $25.7 million compared to $11.2 million in the second quarter of 2024. Cost of revenues was $18.7 million in the second quarter of 2025 and was comprised of flight operations expenses of $7.9 million and maintenance expenses of $10.8 million. This compares to $9.9 million in the second quarter of 2024, which included $5.1 million of flight operations expenses and $4.8 million of maintenance expenses. Cost of revenues for the second quarter of 2025 also included an increase of approximately $3.9 million of expenses associated with the return to service work for the Spanish Super Scoopers. Selling, general and administrative expenses were $6.5 million in the second quarter of 2025 compared to $7.9 million in the second quarter of 2024. The decline reflects lower noncash stock-based compensation expense and a decrease in earn-out consideration, which was partially offset by an increase in the market value of our warrants. Interest expense for the second quarter of 2025 was $5.7 million compared to $5.9 million in the second quarter of 2024. For the second quarter of 2025, we reported net income of $0.3 million compared to a net loss of $10 million in the second quarter of 2024, driven by the increased fleet utilization. Loss per diluted share was $0.12 in the second quarter of 2025 compared to $0.33 per diluted share in the second quarter of 2024. Adjusted EBITDA was $10.8 million in the second quarter compared to $0.2 million in the second quarter last year. As I mentioned previously, a reconciliation of adjusted EBITDA to net loss is included in Exhibit A of our earnings release distributed earlier today. Now looking at our results for the first 6 months of 2025. Revenue was $46.4 million compared to $18.5 million for the first 6 months of 2024, a 150% increase. Cost of revenues was $35.9 million, comprised of flight operation expenses of $14.1 million and maintenance expenses of $21.8 million. Cost of revenues for the first 6 months of 2024 was $19.1 million, which comprised $10.1 million of flight operations expenses and maintenance expenses of $9 million. Cost of revenues for the first 6 months of 2025 included an increase of approximately $10.4 million in the expenses associated with the return to service work on the Spanish Super Scoopers. SG&A expenses were $15.1 million compared to $19.5 million in the first 6 months last year, with the decrease driven primarily by lower noncash stock-based compensation expense and a decrease in earn-out consideration, partially offset by an increase in the market value of our warrants. Interest expense for the first 6 months of 2025 was $11.5 million compared to $11.8 million in the first 6 months of 2024. Net loss was $15.2 million in the first 6 months of 2025 compared to a net loss of $30.1 million in the first 6 months of 2024. Adjusted EBITDA was positive $5.7 million for the first 6 months of 2025 compared to negative $6.7 million in the same period last year. Turning to our balance sheet. We ended Q2 with total cash and cash equivalents of $17 million. Incoming receivables of $18.3 million, primarily from early fire season activity are expected to further increase our cash balance in the coming months. The decline in cash from $39.3 million at the end of 2024 is due to expenses related to the bulk of winter maintenance and training activities that occur in the first half of the year. During the second quarter to take advantage of the appreciation in our real estate, we signed a purchase and sale agreement with SR Aviation Infrastructure for a sale-leaseback transaction for our Bozeman campus facilities. We plan to use the net proceeds of approximately $46 million to repay a portion of our outstanding debt under our debt facilities, which will lower ongoing interest expense. The transaction is expected to close in the third quarter. We remain committed to Bozeman and we will enter into a 10-year leaseback agreement for continued use of the hangar and office headquarter facilities. Turning to our guidance. With the continued strong fleet utilization in the second quarter and into the third quarter as well as a record -- as record task orders for our Super Scoopers, which served to lengthen the wildfire year, we expect to end 2025 at the higher end of our guidance range of $42 million to $48 million of adjusted EBITDA on revenue of $105 million to $111 million. The company also expects continued improvement in cash provided by operating activities. Our current guidance excludes any potential impact from Spanish Super Scoopers acquired by our MAB joint venture partnership. We plan to revisit our guidance after we report third quarter results, which we still expect will represent the bulk of our revenue and adjusted EBITDA for the year. With that, I'd like to turn the call back to Sam for final comments.
Sam Davis: Thank you, Eric. As we sit here today, all Bridger's Air Attack and sensor equipped fleet as well as 6 Super Scoopers are actively engaged in wildfire fighting activities. This includes our sensor-enhanced Kodiak under the exclusive-use contract within our home state of Montana. With the assistance of FMS's aircraft modification capabilities, we're currently engaging in night mapping missions, a significant enhancement to our aerial intelligence capabilities. The record 120-day task orders for 4 of our Super Scoopers also means a portion of our fleet will be engaged through mid-October, further supporting our strategy for year-round availability and enabling us to more fully utilize the excess capacity of our scoopers. And as Eric stated, with our record 6-month results and a busy start to the third quarter due to the increased adoption of our aircraft, we are currently trending towards the higher end of our annual guidance. We're also monetizing our campus to reduce debt and lower annual interest expense with the intent to provide funds to reinvest in the business. With a notable start to the year and actions like monetizing our campus, we're working to take the appropriate steps to improve our balance sheet. Finally, with the support of our federal and government customers, legislation to prioritize early attack and suppression and additional budget dollars appropriated, we are incredibly well positioned to drive organic growth in the future, increase adjusted EBITDA and report another year of positive cash flow as we focus on generating solid returns for our stakeholders. Thanks again for joining our conference call today. We look forward to updating you on our progress when we report our Q3 results in November. We plan to be in Boston next week for the Canaccord Genuity Growth Conference and in the first week of September to be at the Gabelli Aerospace and Defense Symposium in New York. Hopefully, we will see some of you there. Additionally, if anyone has any follow-up questions, please reach out to our Investor Relations. And with that, I would like to turn it back to the moderator and open up the call for any questions.
Operator: [Operator Instructions] There appear to be no questions at this time. I will turn the call back to Sam Davis for closing remarks.
Sam Davis: Okay. Well, thank you for joining our call today. With that, we'd like to close the call. And again, we'll be in touch with any of you through our Investor Relations for follow-up. Appreciate the time.
Operator: Thank you. And this does conclude today's program. Thank you for your participation. You may disconnect at any time.